Operator: Good afternoon. My name is Huey and I'll be your conference facilitator today. At this time I'd like to welcome everyone to Micron Technology's Fourth Quarter and Fiscal Year End 2013 Financial Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. (Operator instructions). It is now my pleasure to turn the floor over to your host, Kipp Bedard. Sir, you may begin your conference.
Kipp Bedard: Thank you, very much and welcome to Micron Technology's fourth quarter and fiscal yearend 2013 financial release conference call. On the call today is Mr. Mark Durcan, CEO and Director; Mark Adams, President; and Ron Foster, Chief Financial Officer and Vice President of Finance. This conference call, including audio and slides, is also available on our website at micron.com. If you have not had an opportunity to review the fourth quarter and fiscal yearend 2013 financial press release, again, it is available on our website at micron.com. Our call will be approximately 60 minutes in length. There will be an audio replay of this call, accessed by dialing 404-537-3406, with the confirmation code of 71010239. This replay will run through Thursday, October 17, 2013, at 5.30 pm Mountain Time. A webcast replay will be available on the Company's website until October 2014. We encourage you to monitor our website at micron.com throughout the quarter for the most current information on the Company including information on the various financial conferences that we will be attending. Please note the following Safe Harbor statement. During the course of this meeting, we may make projections or other forward-looking statements regarding future events or the future financial performance of the Company and the industry. We wish to caution you that such statements are predictions, and that actual events or results may differ materially. We refer you to the documents the Company files on a consolidated basis from time-to-time with the Securities and Exchange Commission, specifically the Company's most recent Form 10-K and Form 10-Q. These documents contain and identify important factors that could cause the actual results for the Company on a consolidated basis to differ materially from those contained in our projections or forward-looking statements. These certain factors can be found in the Investor Relations section of Micron's website. Although we believe that the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee future results, levels of activity, performance or achievements. We are under no duty to update any of the forward-looking statements after the date of the presentation to conform these statements to actual results. Thank you. I'd like to now turn the call over to Mark Durcan. Mark?
Mark Durcan: Thanks, Kipp. I'd like to start today with an overview of the key developments during the quarter, followed by a few strategic and industry thoughts. Then I'll turn it over to Ron for a financial summary. And before turning to Q&A, we'll close our prepared comments with Mark Adams covering additional details of our business units and operational performance and market conditions. Our fourth fiscal quarter was highlighted by the long anticipated closing of the Elpida acquisition. I want to thank all our team members, whether from Micron, Elpida or Rexchip for all their hard work getting us to this point. While we were able to get a good head start on planning and technology development, integration is now in full swing and we hit the ground running with solid combined financial performance in Q4. We expect this execution to continue in Q1 as we take advantage of the strong market conditions along with enhanced scale technology, cost and customer positioning. Our DRAM business roughly doubled overnight as Elpida and Rexchip delivered scale in the PC segment and a leading mobile product portfolio that dovetails nicely with Micron's strength and other specialty DRAM categories such as networking, server and [AIM]. We were also very happy with the performance of our new Japanese team in the graphics arena and expect significant growth in that segment driven by next generation gaming consoles hitting the market soon. Mobile DRAM is now in the mid to high 30% range of our DRAM bits with PC in a similar range and server in the mid-teens. While consumer, networking and storage and [AIM] are all in the single-digits as a percentage of bits, they remain higher than that in terms of revenue. In summary, we have a large product portfolio in every critical segment of the DRAM market and we will now turn our focus to optimizing margins and returns. Turning to the NAND business, we're building a large and solid foundation in SSDs, both through the expansion of our own SSD product lines as well as through strategic customer engagement in the space. Micron branded SSDs and sales of strategic SSD customers now consume in aggregate over 60% of our NAND trade bit. We also have a margin driven retail business and are focusing on a growing set of opportunities to expand the high value embedded -- expand in the high value embedded applications. The wireless NOR market continues a moderate decline as predicted, but embedded NOR remains very attractive, and we're driving profitable growth there. We recently entered into an agreement to sell our 200 millimeter NOR fab in Israel, and we've started moving NOR production to Singapore and to our 300 millimeter fab in Virginia. This will enable significant cost reductions going forward while still providing ample capacity to service the market. Comparing our major technology categories for the quarter, trade NAND achieved gross margins in the low 30% range, followed by DRAM in the mid-20s and NOR in the high-single digits. As Ron will describe in more detail, the reported DRAM margins from the newly acquired capacity appears lower initially as both WIPs and finished goods at close were written up to reflect anticipated market prices. This purchase price accounting effect should flow through over the next quarter or so. We continue to make capital and segmentation decisions to optimize margins and free cash flow over time. Operating cash flow of $717 million [excluded] (ph) our disciplined and measured capital expenditures of $332 million in the quarter. Both these numbers include one month of Elpida financials. The Micron-only fiscal 2013 CapEx of $1.4 billion came in at the low-end of our updated guidance range as we deferred spending into 2014. As a result, our 2014 guidance of $2.6 billion to $3.2 billion is actually somewhat above what we believe the normal run rate for our business should be. Conditions remained favorable for strong memory industry fundamentals. In NAND, we're projecting industry supply this year up in the low 40% range with next year very similar. The 2014 projection includes about a 10% increase in industry wafer production with our remaining supply growth coming from technology. This supply forecast compares to the five-year NAND demand CAGR of 43%, implying a favorable supply and demand balance. Micron's total NAND supply growth will be below the industry this year and slightly above next year, given our DRAM to NAND conversion in Singapore. Mark Adams will comment on the status and solid execution going on there. For DRAM, we expect to see declining industry wafers over the next 12 months with a recent fire at one of our competitor’s fabs amplifying this effect. Clearly, the fire is impacting and will continue to impact supply in the market as the fab in total, including potentially unimpacted capacity, represents about 13% of industry DRAM capacity. We are working with our customers to assist them where possible, but we're not currently changing any of our production plans as a result of the fire. Without making any major assumptions for the impact of the fire, we are projecting DRAM industry supply up in the mid-20% range this year and a similar range next year. The current DRAM five-year demand CAGR is in the low 30s implying a favorable long-term market situation there also. Micron's total DRAM bit production, including Elpida, should be slightly above the industry this year and below the industry next year. This includes the impact of our DRAM to NAND conversion plans. It was a rewarding quarter at Micron, but much remains to be done. While the Elpida acquisition positions us as the world's best memory supplier and the industry dynamics are moving in our favor, we remain focused on optimizing value for our shareholders and worldwide customers. I'll stop here and turn it over to Ron and Mark before returning for Q&A.
Ronald Foster: Thanks, Mark. Our fourth quarter and fiscal year ended on August 29. Our website has a schedule containing certain key results for the fourth quarter as well as guidance for the first quarter of fiscal 2014. That information is also presented on the following slides. For our 2013 fiscal year, we reported net income of $1.2 billion or $1.13 per diluted share on net sales of $9.1 billion. The results for the year include one month of the consolidated results of Elpida since our acquisition closed on July 31. Elpida's results included Rexchip. The $1.5 billion non-operating gain recognized as part of the purchase accounting of Elpida is the result of the fair values of the assets and liabilities acquired being in excess of the purchase price. Operating income for 2013, which excludes the gain on the Elpida acquisition, improved to $236 million compared to an operating loss of $612 million in fiscal 2012 as market conditions for memory products improved significantly around the beginning of this calendar year. The schedule currently displayed summarizes the purchase accounting for Elpida. Several noteworthy items include. The $2.4 billion net assets acquired includes $3 billion of net working capital. Both cash and inventories were each just under $1 billion. The amount of inventory as of closing was written up as part of the purchase accounting to its fair value which Mark mentioned, and is based on the estimated selling prices for the products. As a result of this write up, we expect lower margins on sales of Elpida products in the first few months following the acquisition as we sell through the material that was subject to the write-up. Normal margins should return around the end of the first fiscal quarter. The amount of property, plant, and equipment consolidated -- for consolidated Elpida, including the fabs in Hiroshima and Taiwan was $935 million. This reflects an approximately $2.1 billion reduction through purchase accounting compared to the U.S. GAAP values immediately prior to the acquisition. In addition, you may recall that the U.S. GAAP PP&E values of consolidated Elpida were previously written down by $2.8 billion through an impairment charge in the Elpida March 2012 financial statements. Other current and non-current assets include about $920 million of net deferred tax assets, such as net operating loss carry forwards which will be used over time to offset Japan income tax obligations. Total acquired debt, giving effect to the plan of reorganization, is $2.1 billion. Our payment to acquire Elpida of 60 billion Yen or approximately US$615 million is shown on the balance sheet in restricted cash. Approximately $560 million of this balance will be used to make the first installment payment to the creditors later this month. The total installment payments due under the plan of reorganization of 200 billion Yen bears no interest. However, they have been discounted to a fair value of $1.638 billion using an imputed interest rate of 6.25%. Concurrent with the closing of the Elpida acquisition, we also acquired Powerchip's 24% interest in Rexchip. Along with Elpida's ownership, we acquired a total of 89% of Rexchip. The remaining 11% represents substantially all of the non-controlling interest valued at $168 million reflected in the opening balance sheet. The SEC disclosure rules require us to file certain historical financial statements of Elpida, along with pro forma financial statements. We anticipate filing those documents next week. That filing will contain audited Elpida financial statements as of and for the fiscal period ended February 28, 2013, as well as pro forma financial statements from Micron's fiscal 2012 and the nine months ended May 31, 2013. The pro forma financial statements contain additional detailed disclosures of the purchase accounting for Elpida. Further details of the actual purchase accounting will be included in our 10-K, which will be filed later this month. For the fourth quarter, we reported net income of $1.7 billion or $1.51 per diluted share on net sales of $2.8 billion. Obviously, these results include the $1.5 billion acquisition gain. Operating income for the fourth quarter of $207 million improved from $149 million in the third quarter, primarily due to an approximately 1 percentage point expanded gross margin and $46 million operating income contributed by Elpida, which includes the net effects of higher cost of goods sold from the stepped up inventory value, partially offset by lower depreciation from the equipment values that were written down in purchase accounting. These factors were partially offset by acquisition costs and restructuring impairment charges incurred at the Micron level during the quarter, which are enumerated on the following slide. On a standalone basis, Elpida's consolidated results for the one month that was included in our fiscal Q4 included revenue of $355 million with 25% gross margin. Elpida's net income for the one month period was $29 million. We are continuing to present items included in the results of operations for the quarter that are particularly noteworthy or are not representative of company's trended economic performance. These items are presented to reconcile net income for the period as reported to net income excluding these certain items. Note that the amounts in the reconciliation do not include all the related income tax effects as the amounts are generally di minimis due to our net operating loss carry forwards and our global tax structure. The most prominent item in the reconciliation is the gain recognized on the Elpida acquisition. Going the other way are the flow through in the fourth quarter of a portion of the stepped-up inventory value in the acquisition, in addition to the acquisition-related costs incurred in the quarter. We recognized restart -- restructuring and impairment charges of $32 million, primarily from employee termination benefits associated with workforce reductions as we continue to optimize our global workforce structure and write-downs of certain assets in our Israel operation associated with their pending sale. The amortization of debt discount primarily reflects the imputed interest expense in the quarter from our convertible notes, as well as the discount on the interest free installment debt of Elpida. Last quarter, we mentioned a gain we were to recognize in the fourth quarter of $48 million associated with our ownership in Inotera, as they sold shares to other parties at a price higher than our carrying value. The net effect of foreign currency activity was significantly reduced in the fourth quarter as we began hedging Elpida's non-USD exposures under our normal hedging policies as of the close of the acquisition. We expect to see some ongoing activity in this area, since we fully incorporated Elpida's balance sheet exposures, including the yen-denominated installment debt. Non-cash income tax expenses primarily in Japan are offset by the deferred tax asset we recorded in purchase accounting. Adjusting for all these items, non-GAAP EPS improved to $0.29 per diluted share compared to the $0.16 per diluted share, adjusting for items in the third quarter. You may have noted here as well as on previous slides the number of shares used in diluted EPS calculation has increased in the fourth quarter. The average stock price for the quarter increased the dilution from our convertible notes and stock options, both of which use the treasury stock method to determine the amount of dilution. The number of shares used in the diluted EPS calculation for the fourth quarter, includes 96 million shares from the dilutive effects of convertible notes and shares under our stock plans. The capped calls that we have in place around our convertible notes while not reflected in the EPS calculation, economically reduced the dilution from the convertible notes by approximately 53 million shares at an assumed $18 share price. As our share price exceeds the upper strike price of the capped calls, their mitigating effect on the dilution is capped. As always, we are reviewing alternatives to manage our capital structure and we'll take advantage of opportunities we believe are in the best interest of our shareholders. In the first quarter we project the following impacts from these adjustment items. Flow through of Elpida inventory step up reducing gross margin by $110 million to $120 million, Amortization of debt discount on the convertible notes and the Elpida installment debt of approximately $15 million. Non-cash taxes related to the acquisition of between $50 million to $60 million. Our ongoing cash tax rate is expected to be in the low single digit range. We expect restructuring and acquisition costs in the first quarter to be immaterial in the single-digit million dollar range. Now, the more detailed discussion of our operating results will be at the combined company level, including the results of Elpida. In terms of the guidance that we provided for the fourth quarter, we generally executed within the targeted ranges we provided. Going forward, all of our guidance for the future periods will also be at the consolidated company level. Turning first to DRAM. DRAM revenue for the combined company increased 50% in the fourth quarter compared to the previous quarter, reflecting a 42% increase in bit sales volume and 5% increase in per bit average selling prices. One month of Elpida's results accounted for approximately 20% of the total bit shipments in the fourth quarter. The mix of Elpida's products averaged to a lower price when compared to Micron's average price. This is primarily a result of Micron's higher mix of premium ASP segments, such as networking and [AIM], while Elpida has a higher mix of sales in wafer form. Currently, Elpida sells approximately 20% of their volume in wafers which reduces the consolidated Micron average selling price and cost per bit correspondingly. The cost for DRAM products increased in the fourth quarter compared to the previous quarter, mainly due to the higher cost of products purchased from Inotera which vary based on market prices. Our quarterly results also reflect our share of Inotera's net income. This is the first quarter since 2010 where equity method pick-up reflects income from Inotera, where execution in addition to the improvements in the memory industry has helped their return to profitability. Recall that we pick up Inotera's equity method results with a two month lag. Now in terms of guidance for DRAM. Using quarter-to-date selling prices and projected product mix effects for the quarter, ASPs will be up mid-single digits compared to the Q4 average as a result of market increases, partially offset by the mix effect of lower Elpida average selling prices. Projected bit costs are expected to be down low single digits relative to Q4, with the Elpida mix improving cost per bit, partially offset by higher costs from Inotera's market based pricing. Projected production volume is expected to be up mid-40s in the first quarter with a full three months of Elpida volume. We expect Elpida to account for approximately 60% of DRAM bit production in the first quarter. Key themes affecting Q1 guidance include the relatively strong market conditions for DRAM pricing that Mark referenced and the continued transition of the former tech Singapore fab from DRAM to NAND. This transition is on track and expected to continue through the end of the fiscal year. Now turning to NAND, Trade NAND sales increased 3% compared to the third quarter, which reflects 13% increase in bit sales volumes, offset by a 9% decrease in per bit average selling price. Margin on Trade NAND remained flat compared to the third quarter as the transition to higher density products brought about the offsetting effects of lower cost per part and lower per bit selling prices. NAND bits sold in Micron branded SSD increased 23% in the fourth quarter, driven primarily by growth in the enterprise space as we continued to build out our product portfolio in this key segment which Mark Adams will talk about more in a bit. Looking at our NAND guidance for the first quarter, using quarter to-date selling prices and projected mix for the quarter, Trade NAND ASPs would be down high-single digits with the decline driven by mix of higher density products on advanced technology nodes. Bit costs are expected to be down high-single digits as well, while bit production is expected to be up low to mid-teens as we transition our former tech Singapore fab to NAND production. Key transfer Q1 affecting this guidance are the continued ramp of the former tech Singapore fab to NAND, although the majority of the output in the fourth quarter was still DRAM. And as NAND replaced to some NOR volume in the marketplace over time, I’ll also add that revenue from NOR sales is expected to decline sequentially in Q1 as it did in Q4 to the $120 million to $130 million range. SG&A expense guidance for Micron only in the fourth quarter did not include any acquisition-related costs. Adjusting for the $42 million acquisition-related costs in the quarter, SG&A was right in the middle of our guided range. We expect SG&A expense in the first quarter to be between $185 million and $195 million, including Elpida's costs. R&D expense for Micron only in the fourth quarter was at the high end of our guided range. Including Elpida for all the first quarter, we expect R&D expense to be between $340 million and $350 million. The Company also generated $717 million in cash flow from operations in the fourth quarter. The year ended with cash and investments, including restricted cash and non-current investments of $4.2 billion. This amount includes the Elpida restricted cash of which approximately $560 million will be paid in the first installment payment later this month, as I mentioned previously. Micron only capital spending during the fourth quarter was $286 million, which brought the fiscal year total to $1.4 billion at the low-end of our most recently guided range as Mark mentioned and well below our original guidance for the year. Capital spending for the fourth quarter, including Elpida, was $332 million. Estimated capital expenditures for fiscal 2014 of between $2.6 billion and $3.2 billion, contemplates all the spending for the Elpida and Rexchip operations, as we converge on our technology and product roadmaps. Depreciation and amortization is expected to increase from $486 million in the fourth quarter to around $560 million in Q1. During the fourth quarter, we received just over $300 million in additional asset-backed debt financing. And with that, I'll turn it over to Mark Adams for his comments.
Mark Adams: Thanks, Ron. I will provide some more detail on our fourth quarter operating performance, as well as, share some thoughts on current market conditions. Our NAND Solutions Group recorded revenue of $781 million, up 7% when compared to our third quarter. Total NAND gross margins increased slightly in the quarter as we continue to improve our mix. Our NAND ASPs were down 9% quarter-over-quarter, partially driven by an increase in higher density, lower price per gigabyte SSD products and partially driven by early production capacity from our fab seven conversion, ending up in a transactional market such as memory cards and USB devices which generally produce a lower ASP. Our SSD business is growing significantly faster than the overall SSD market. Micron branded SSD revenue for the year was 76% over 2012. It's worth noting that over 50% of our trade NAND revenue goes to either Micron branded SSDs or our strategic customers who serve the SSD category with Micron's NAND technology. We continued to migrate our SSD product family to advanced lithography nodes. Our 20-nanometer flash memory technology represented 40% of our client SSD shipments and our 25-nanometer process represented over 80% of our enterprise shipments. Our newly announced M500 based on our 20-nanometer technology is seeing strong acceptance not only in client, but data center applications. We've also qualified two new enterprise drives at Tier-1 OEMs, our P410 flash drive and our P420 PCIe drive. On the technology front, Micron introduced its industry leading 16-nanometer MLC NAND, the most advanced processing node for any current product produced in the semiconductor device industry. For this accomplishment, Micron won the Best Technology Award, at the 2013 Flash Memory Summit held in August. We're pleased with the results from our NAND business and continue to look for ways to drive higher value features and functionalities to an increasingly segmented market. Our DRAM Solutions Group recorded a 34% increase in top line revenue, with sales of $1.24 billion in Q4, which included one month of Elpida data. Excluding this Elpida sales for August, revenue was up 16% quarter-on-quarter, driven primarily by an increase in DRAM ASPs for the second consecutive quarter. DSG gross margins were in the mid-20% range, up about 1% from our third quarter. Keep in mind that Q4 and Q1 DRAM gross margins are and in the near term will be negatively impacted by the flow through of Elpida's inventory which was written up to market value at close as Ron described in his purchase accounting comments earlier. We achieved record bit shipments in all of our premium DRAM segments, with the non-PC business representing about 55% of our gigabit shipments in the quarter. We shipped over 300 million gigabit equivalents into the server DRAM segment in Q4, driven by strong demand from our data center customers and cloud service providers. For fiscal 2013, this is a 53% year-over-year increase in bit shipments, which represented a 13% increase in revenue. We had a record quarter in our networking business for both bits up 5% and revenue up 8%. RLDRAM shipments set a company record as we’re seeing a strong demand from Tier-1 OEMs, as well as through our distribution channel. We also had a strong quarter in our consumer graphic segment, which continues to be an attractive premium market. Bit shipments were up 38% quarter-on-quarter and we expect strong demand in Q1, in particular looking forward to the upcoming launch of next-generation gaming consoles for this holiday season. Elpida's GDDR5 technology rounds out our portfolio in this fast-growing segment. On the technology front, we recently announced our Hybrid Memory Cube interoperability with FPGA platform from Altera, a major milestone for us in this new solution for the high-performance networking and computing segment. In addition, our RLDRAM III product continues to receive strong market endorsement from out Tier-1 networking customers. We are seeing strong yield improvement in our 25-nanometer process technology and will continue to ramp this technology through fiscal 2014. We are also on track to introduce our 20-nanometer technology beginning in the second half of calendar 2014. Overall the DRAM market remains tight. Given growing demand in the specialty markets and under supply in the PC DRAM business and the impact on supplies from the Wuxi accident, inventories appears extremely low across both our OEM customer base and at distribution channel. We are on allocation with customers in multiple segments. OEM contract pricing, while increasing, continues to lag the rising spot market. Our specialty business typically lags the market in terms of price movement, but we are seeing increases across these segments as well. We are optimistic that the DRAM market will remain strong through the end of calendar year 2013. When you include one month of Elpida's mobile business, revenue for the Wireless Solutions Group was up 70% quarter-over-quarter, coming up on Q3 where revenue was up roughly 30% from the prior quarter. Without the Elpida impact, revenues for WSG were flat quarter-over-quarter as we were able to redirect some capacity to higher margin opportunities in computing. Q4 gross margins swung from a negative 4% to a positive 8% in the quarter. Mobile DRAM was up 300% quarter-over-quarter, including Elpida, highlighted by increased low-power DRAM share at Tier-1 customers. Mobile DRAM margins improved significantly in Q4 on increased shipments of our 30-nanometer low-power DRAM product. Our mobile NAND revenue was constrained in the quarter, but gross margins were up mid-single digits compared to Q3. Our NOR based MCP business saw demand continue to decline with margin pressure from idle charges. In the past, I've talked about the restructuring of our Micron only mobile business, WSG. We have taken significant costs out of the business and managed our mobile inventory to an all-time low as we prepare for the integration of Elpida's mobile business with WSG. We feel as one combined mobile business, Micron has the strongest mobile memory portfolio in the industry. We are excited about the combined mobile organization scale and product breadth in both low power DRAM and managed NAND, positioning Micron as a leader in mobile memory solutions. Our Embedded Solutions Group recorded sales of $329 million, up 8% quarter-over-quarter, setting a record for ESG quarterly revenue. Investment in geographic expansion continues to pay off as we saw double-digit growth in both Europe and Asia. Operating profit remained strong at 19% as our team concluded a solid fiscal year 2013. For the year, revenue was up 13% in our embedded business, as we grew shipments across DRAM, NAND and NOR to a broadening customer base. Our automotive and industrial segment experienced 19% top line growth year-over-year. With the recent announcement of our field system labs in Germany and Shanghai, we feel we are uniquely positioned to partner with our embedded customers in presale systems architectural design, qualification and post-sale support. This level of customer engagement is the type of service that will continue to differentiate Micron's offering as we look to scale our embedded business. On the technology front, the team has done a great job marketing Micron's broad portfolio in a segment that was once dominated primarily by NOR shipments. In fact, today our ESG revenue mix is relatively evenly split between DRAM, NAND and NOR. We are currently ramping our 45-nanometer serial and parallel NOR products at our 300 millimeter fab in Virginia and we are in qualification with key ESG customers. We remain optimistic that we will see continued growth from ESG in fiscal 2014 as we increase investments in both technology and levels of differentiated service. Overall, the memory business remained in favorable balance from a demand and supply perspective throughout our fourth quarter. Demand signals from our customers are strong and we are in allocation mode across DRAM with general balance in NAND. The teams were able to execute in key areas such as specialty DRAM, enterprise storage, automotive and industrial and low-power mobile solutions in Q4 and we feel well positioned for a strong Q1. In closing, I want to welcome our new team members from the former Elpida and Rexchip teams. We are very impressed with the quality of people, technology, and strong customer relationships that are now part of Micron. With that, I will hand it back over to Kipp.
Kipp Bedard: Thank you, Mark. What we'd like to do now is take questions from callers. (Operator instructions). Please open up the lines.
Operator: (Operator instructions). Our first question will come from the line of Glen Young with Citi. Please go ahead. Your line is now open.
Adeline Lee – Citigroup: This is Adeline Lee for Glen Young. My first question is, can you tell us a little bit about your CapEx split and also CapEx loading?
Mark Durcan: This is Mark. We gave you already the CapEx spend projected for the year. In terms of how that's split technology wise, a little bit more than half on DRAM with the remainder to build out incremental 80 and 90 series NAND conversion which is 20 -- conversion to 20-nanometer and 16-nanometer as well as some early spend on 3D NAND.
Adeline Lee – Citigroup: And then can you also sort of help us in terms of ASPs. After the Wuxi fire at Hynix, what do you think pricing will do before -- when they get back to their normal loading sometime in the first half of 2014? What do you think pricing will do?
Mark Adams: This is Mark Adams. As we typically don't do, we’ll not comment on future pricing. There’s a lot of variables we just don't have a handle on in terms of what the competitive recovery would look like. Obviously, we are in a situation that since then up until quarter to-date, it's further tightened, was a tightening market, but we're not in a position of predicting future pricing.
Mark Durcan: Yeah, I think as well as that, I would just add that it's still a little unclear to us at least exactly when there will be a full recovery, so trying to get the dynamics around how that all plays out over time is very difficult.
Operator: Our next question in queue will come from the line of Monika Garg with Pacific Crest Securities. Please go ahead. Your line is now open.
Monika Garg – Pacific Crest Securities: Your operating margins on DRAM segments are much higher than the NAND segment. And you're also guiding to ASP increase in DRAM and ASP decline in NAND. So the question is then why not delay the conversion of Singapore fab from DRAM to NAND for maybe a quarter or two quarters?
Mark Durcan: What I said, Monika is that we haven't changed our trajectory yet. And what we said in the past is we want to maintain a high degree of flexibility and be reactive to our customer needs and what's going on in the marketplace, so we can optimize margins. So, I'm not going to comment on what we might do going forward. We're going to continue to watch the market pretty carefully and do what we need to do for Micron and our customers.
Monika Garg – Pacific Crest Securities: The next one is on the WSG segment. The revenues increased considerably of course due to Elpida's mobile DRAM business, but operating margins are still in the negative, right? So I'm just trying to understand the dynamics there. Is it that inventory because of that lower gross margin from Elpida assets? Could you just walk a little bit on that side please?
Mark Adams: There is that. I think you're hitting on a couple of areas that are relevant, but also remember there’s a three months, basically a full quarter inventory flow through which will be much more positive when we get through that period as well.
Ronald Foster: There is also one month in there of Elpida in the reported results.
Mark Adams: Let me take this chance also just to comment that in the mobile business, we are currently -- we are strategically looking at a margin business, not a scale business. And so where we see opportunities to use our capacity for specialized and differentiated product in mobile, that's what we're focused on. We're not trying to necessarily grow the top line in mobile just to grow it, and I think from our perspective, when you add all those factors together, you'll continue to see hopefully us make announcements around differentiated products.
Operator: Our next question in the phone queue will come from the line of Joe Moore with Morgan Stanley. Please go ahead. Your line is now open.
Joseph Moore – Morgan Stanley: The 17% growth in NAND bits, you had talked about production up high single-digits early in the quarter. Was that from inventory or did you have upside from the production numbers that you thought you'd have?
Mark Durcan: Yes, Joe, you're correct. That was actually reported a production number. So, production numbers came in even better. I think Mark mentioned in his script that in particular we were pleased to see that the 20-nanometer NAND is now more than 50% of our bits produced. So we’re pretty pleased with how the team executed.
Mark Adams: Looping back also, Joe to the tech conversion, again while we’re going to monitor that as the market continues to evolve, that transition went better than we ever could have possibly expected, that the yields are phenomenal there, and it’s been very, very smooth.
Joseph Moore – Morgan Stanley: And then in terms of the tax rate that you talked about, at the analyst meeting you guys have talked about the disparity between kind of a cash tax rate and then the non-GAAP from the true up of the NOLs around fair value, are we going to be able to get visibility into what the difference is between those two tax rates going forward?
Ronald Foster: Joe, this is Ron. I showed you the effect in the latest reported quarter, and I gave you a projection for the first quarter, so we will continue to pro forma that each quarter and give you the breakdown. The fact is that it's easier for us to actually project the cash tax rate and it’s going to be in the low-single digit range over time, because of our tax structure and that’s what we'll actually be paying in taxes. The GAAP tax rate is more difficult to figure out because it's an estimated effective tax rate based upon your projected annual profits or pre-tax profits. So I can give you a pretty good diagnosis of cash tax rates, and in each quarter we'll break out the non-cash portion that's in our GAAP number.
Operator: Our next question in queue comes from the line of Doug Freedman with RBC Capital Markets. Please go ahead. Your line is now open.
Doug Freedman – RBC Capital Markets: Congrats on all the execution of all the moving parts here. Is there any way you can help me get what the gross margins would have been if you had recorded Elpida product at manufacturing cost as opposed to the marked up?
Mark Durcan: Doug, if you look at my schedule on the pro forma, you should be able to pull that out because we’ve showed the step up amount of the inventory around $40 million for the fourth quarter, $41 million on the non-GAAP schedule that I provided when I made my prepared comments, so that's the difference.
Doug Freedman – RBC Capital Markets: So it's not a significant number this quarter?
Mark Durcan: Pardon me?
Doug Freedman – RBC Capital Markets: So it ends up – great. The $41 million, it's not going to move my gross margins multiple percentage points this quarter. Going forward though it will have a more material --
Mark Durcan: Going forward, I gave you the estimate, $110 million to $120 million in Q1.
Doug Freedman – RBC Capital Markets: And then I just want to make sure I heard it correctly. You were talking Inotera bits, even post-acquisition integration, Inotera bits in DRAM are going to make up 60%. Did I hear that correctly?
Mark Durcan: No. In DRAM, Elpida bits make ups -- would be make up around 60% of our production in Q1 of DRAM production.
Doug Freedman – RBC Capital Markets: How much is Inotera?
Mark Durcan: Well, it's a part of the remainder, the larger part of the remainder.
Doug Freedman – RBC Capital Markets: Because those bits are at the cost plus accounting method?
Ronald Foster: Market minus.
Mark Durcan: The Inotera bits are market minus, and Elpida is part of our consolidated result. So, does that address your question?
Doug Freedman – RBC Capital Markets: It does. Thank you.
Operator: Our next question in queue will come from the line of Steven Fox with Cross Research. Please go ahead. Your line is now open.
Steven Fox – Cross Research: It seems like once again your business in the enterprise market is better than you would have thought of three months ago. Just curious if you could talk especially on the SSD side, you mentioned some of the product successes. As you look out into this quarter, where do you see that going? Then secondly, on the server side, I wonder if you can give some more color around where you're being successful on the DRAM sales because again it looked it was doing better than you would have thought three months ago. Thanks.
Mark Adams:
Steven Fox – Cross Research: Just a follow-up along that line. You mentioned [web scale] customers as being part of the driver. And I think you've also talked about the risks around the linearity of those customers. Is that something that played out in the quarter at all? Do you expect that to play out in calendar fourth quarter? How do you see that market evolving near-term?
Mark Adams: So far until quarter-to-date, we think that it's been mildly capacity constrained with good capacity bits being able to serve that space. So we haven't seen any detriment to suggest otherwise. Again, I think we're getting some tailwinds on customer engagements in this business with our product portfolio that again we feel pretty positive and bullish going forward.
Steven Fox – Cross Research: And then just wrapping all that, I was just curious, as you apply all that to margins, how do you feel in terms of products, whether it’s SSDs or selling in the server market where -- are your margins optimized at this point in either product line or would you say there is room to improve there? Thanks.
Mark Adams: Yeah, again, we probably won't touch that one in terms of future margins and future ASPs.
Operator: Our next question in queue will come from the line of James Schneider with Goldman Sachs. Please go ahead. Your line is now open.
James Schneider – Goldman Sachs: I was wondering if you could talk a little bit about the capacity plans at Elpida, Hiroshima fab and also Rexchip in terms of what shrinks you're going to do over the next couple of quarters with the CapEx and transitions both on the mobile and PC DRAM side.
Mark Durcan: This is Mark Durcan. At Elpida, we have a 25-nanometer ramp well underway and that's going quite smoothly. There has been some early activity at Rexchip as well, although that would go maybe at a more muted pace. And we'll continue to monitor how we have our computing and DRAM mix and that may get things more than technology introduction at Rexchip as we try and get that mix right. But generally speaking we have product running at both those fabs and the 25-nanometer node. 20-nanometer is really a second calendar half of 2014 story. There will be activity in the first half, but it will production in the second half of 2014. In NAND, as we said before, we're over 50% 20-nanometer NAND already and well into our 15-nanometer ramp which has gone very well.
James Schneider – Goldman Sachs: I was wondering if you could maybe talk a little bit about understanding you want to keep your options open and keep things flexible regarding the tech transition to NAND. But sitting here looking at today, would you expect that transition to be complete from an output perspective by the end of the calendar first or second quarter?
Mark Durcan: I want to keep a little mystery in that dynamic.
Operator: Our next question in queue will come from the line of John Pitzer with Credit Suisse. Please go ahead. Your line is now open.
John Pitzer – Credit Suisse: Just real quickly, on the ASP guidance for DRAM in the November quarter, curious much of that is being influenced by the addition of Elpida for three months in the quarter, i.e., if you just look at the core Micron and Inotera DRAM ASPs, any sense of how you can tell us how that would have trended Q-on-Q?
Ronald Foster: This is Ron. John, if you look at there are couple of effects, James. One is the --John, excuse me, the flow of market prices, which are up stronger than the average guidance we're giving. But the Elpida product mix has a lower average price than that of historical Micron. As I mentioned in my comments, this pushes down the average ASP in Q1 as you work that into the total mix for a full quarter. Everything else being equal, I would estimate that based on today's pricing that the Elpida mix is taking us down in our average in the high-single digit range. So the guidance we gave you is muted by the fact that the Elpida mix is dropping us down in the high-single digit range on average using quarter-to-date pricing and estimated mix.
John Pitzer – Credit Suisse: That’s very helpful, Ron. Then either for Mark Durcan or Mark Adams. Guys, there’s been a lot made about the NAND transition from planar to 3D. I'm wondering if you could help me better understand the Moore's law issues on DRAM, especially as we get below the 20-nanometer node. Seeing a lot of white papers out there about whether or not we've got the right materials, what the cost curve is going to start to look like. So just generically as we think about the shrink capacity in DRAM, how does that look over the next several years?
Mark Durcan: Sorry. Is the question is relative to NAND or DRAM or a little of both?
John Pitzer – Credit Suisse: No, to DRAM specifically. I think investors have vetted the 2D to 3D in NAND. I'm just curious about what's going on in DRAM from a technology perspective? And is there a chance here that the shrink growth slows here as we get below the 20 nanometer node?
Mark Durcan: Absolutely. I think it's inevitable that the pace of technology node migration is going to continue to slow. There's no -- it's interesting because it's not like NAND where there’s really a hard stop on planar NAND. It just becomes very, very difficult with a floating [detail] to make it work at all below about 50 nanometers. But DRAM has a lot of bags in the trick -- a lot of tricks in the bag, sorry. It's just an economic challenge to make that all play out. So I think you're going to continue to see technology migration, but maybe addressing smaller segments where there is some particular form factor need or performance need, as well as just a longer trajectory to get to the next node. But you will see nodes well below 20 nanometers over the next five to seven years.
Operator: Our next question in queue will come from the line of Vijay Rakesh with Sterne Agee. Please go ahead. Your line is now open.
Vijay Rakesh – Sterne Agee: I'm just wondering, when you look at mobile, I know you gave out your expectations for DRAM, but when you look at mobile DRAM for next year, where do you think mobile DRAM grows? Also, on the NAND side, what's your split between SSD and OEM retail now?
Mark Durcan: Vijay, are you asking that from a Micron perspective or a market perspective?
Vijay Rakesh – Sterne Agee: If you can give me both for mobile DRAM.
Mark Durcan: I’ll give you market. Like Mark, I don't want to -- I want to keep some mystery in exactly what we do with our mix. But basically what you're seeing per handset only, you're looking at an average megabytes per phone of about 450 going to just over 700 in 2014. On the NAND side we're looking at something just below an average of 5 gigabytes of phone going to something just over six and that includes all handsets, an average of all handsets in.
Vijay Rakesh – Sterne Agee: And on the NAND side what's your split between SSD and OEM retail?
Mark Durcan: Again from a market segment standpoint?
Vijay Rakesh – Sterne Agee: Yeah, from Micron standpoint.
Mark Durcan: I would say from a Micron standpoint, we're running around 50% of revenues from SSD and around 30% from consumer and around 10% mobile.
Vijay Rakesh – Sterne Agee: Last question here. I know there’s a lot of focus on free cash flow. When you look at CapEx next year, I know it's coming down. Any thoughts on that? I know you've guided to $2.6 billion to $3.2 billion for fiscal '14, but you expect it to come down a little bit. Where do you think it comes in?
Ronald Foster: After that period, so you are looking at 2015?
Vijay Rakesh – Sterne Agee: Yes.
Ronald Foster: I think we'll hold off on that one for now too.
Operator: Our next question in queue will come from David Wong with Wells Fargo. Your questions please.
David Wong – Wells Fargo: One simple one. R&D, your guidance for the November quarter, $340 million to $350 million. Does this include -- is there some opportunity for rationalization of R&D going forward? Do you have duplication that you plan to eliminate so that the R&D will drop in future quarters?
Ronald Foster: David, it's Ron. Yeah. Obviously, we've just got the acquisition together and we're looking at our go-forward strategies for all of our operating structures and there certainly are opportunities. The general structure of OpEx, both for R&D and SG&A at Elpida was similar to ours as a percent of revenue. So it doesn't radically change the percents of where we are right now. Going forward, obviously we'll be looking at efficiencies and synergies that we can derive across the whole cost structure.
David Wong – Wells Fargo: And just to push a bit further on that CapEx question. I understand you don't want to give guidance for the out year. But within that $2.6 billion to $3.2 billion, are there any special charges that you're taking or special costs that you’re incurring to integrate all your facilities? And can you quantify those for us that are one-term lead type things?
Ronald Foster: No. There’s really not. It's really just the technology migration across the entire network.
Kipp Bedard: Unfortunately we only have time for about one more question.
Operator: Our next question in queue will come from the line of Daniel Amir with Lazard. Please go ahead, your questions please.
Daniel Amir – Lazard Capital Markets: So just a quick question. Just in terms of DRAM mix, what's the consideration here in terms of changing the DRAM mix here over time now that you have Elpida. In terms of looking at increasing the networking or server DRAM versus mobile and PC, what's the considerations here? Thanks.
Mark Durcan: Some of that, Daniel is really qualifying and getting those products into these applications and internally qualifications as well as getting them qualified at the customer level. But the opportunity we believe is significant. We're obviously not going to quantify it here on this call, but you've heard reference today to historical revenue from Elpida around wafer sales and personal computing and mobile. They obviously haven't in the past been very successful in getting over there to these specialty markets. And quite frankly, our customers you can see we had records in basically all of our specialty markets and we feel like we were constrained. There was more upside there. So we think the opportunity is there. Our job is to go make that happen.
Ronald Foster: At the highest level, we're not seeking any market share segments in any particular segment. We’re seeking to optimize our margins across the segments and drive differentiated products that have enduring values.
Kipp Bedard: With that, we would like to thank everyone for participating on the call today. If you will please bear with me, I need to repeat the Safe Harbor protection language. During the course of this call, we may have made forward-looking statements regarding the Company and the industry. These particular forward-looking statements and all other statements that may have been made on the call that are not historical facts are subject to a number of risks and uncertainties and actual results may differ materially. For information on the important factors that may cause actual results to differ materially, please refer to our filings with the SEC, including the Company's most recent 10-Q and 10-K. Thank you.
Operator: Thank you, sir. This concludes today's Micron Technology's fourth quarter and fiscal yearend 2013 financial release conference call. You may now all disconnect.